Operator: Ladies and gentlemen, thank you for standing by. I'm Costantino, your Chorus Call operator. 
 Welcome, and thank you for joining the Alpha Services and Holdings conference call to present and discuss the first quarter 2022 financial results. At this time, I would like to turn the conference over to Alpha Services and Holdings management. Gentlemen, you may now proceed. 
Vasilis Psaltis: Good afternoon, everyone, and a very good morning to those of you dialing in from the U.S. I would like to welcome you to Alpha Bank's first quarter results call for 2022. I'm Vassilios Psaltis, Alpha Bank's CEO, and I'm joined here today by Lazaros Papagaryfallou, our Chief Financial Officer; our Chief Economist, Mr. Panagiotis Kapopoulos; and Iason Kepaptsoglou, our Head of IR. Let's start by looking at the macro picture on Slide 4, please.
 Real GDP in Greece is expected to exhibit a growth premium over the next 2 years, as real GDP growth will outpace the EU average, and this can be depicted in the graph despite the geopolitical headwinds. The Russian invasion into the Ukraine is expected to adversely affect domestic economic activity in 2022. The downward revised projection is mainly attributed to the heightened uncertainty surrounding the economic outlook stemming from geopolitical tensions in Europe and the relevant energy crisis fueling strong inflationary pressures.
 However, growth dynamics are expected to remain solid, primarily driven by the full recovery of tourism by the end of the forecast horizon and the RRF stimulus. More specifically, real GDP growth in 2022, 2023 is expected to be supported by the expected second-run rebound of tourism. As a reminder, in 2021, arrivals and receipts lagged behind the respective 2019 record high by 47% and 59%, respectively.
 Then is the investment injections off the back of the RRF funds are combined by a reliable government plan and the significant gains in employment that are expected to support private consumption. My view is that the unemployment rate fell by 3, 4 percentage points within the year.
 On top of these factors, the economic expansion in Greece in 2022, 2023 is supported by some additional factors, mainly the high level of savings for both households and companies since the start of COVID-19 pandemic; the reconfiguration of supply chains that will benefit the Greek economy; and the significantly stronger banking sector, which played an important role in mitigating the economic impact of the pandemic on households and companies.
 Turning now to Slide 5. Strong inflationary pressures that prevailed globally are expected to weigh on household disposable income, compressing their purchasing power. But the losses are being partly mitigated by fiscal support measures. Headline inflation in Greece reached 7.2% on average in the first 4 months of 2022, fueled mainly by soaring energy prices, which grew to 14.8% increase, while the upsurge in cost of fertilizers and transport poses upward food prices, which are up 6.5%.
 As depicted in the graph, the growth rate of the nominal disposable income of households is projected to outpace inflation in 2022, 2023, signifying an upward course of real disposable income in the next 3 years. This development is attributed to the government supporting measures that have been implemented to cushion the impact of increasing energy costs following on from the pandemic-related measures implemented in 2020.
 The magnitude of the fiscal stimulus aimed to underpin household disposable income against the pandemic-related effects and energy-related inflationary pressures is evident in the course of primary balances.
 Greece's primary deficit reached 5% in 2021, reflecting mainly the pandemic-related emergency and support measures still in place. A primary deficit of 1.9% of GDP is expected in 2022, mainly due to the temporary measures taken in response to sorting energy costs, while the return to primary surplus is expected for 2023.
 Turning now to Slide 6. As you can see, the world is materially different since we published our business plan last May. But it is important to remember that despite the current uncertainty, Greece and its banking sector have made material progress, as you can see on this slide. Credit ratings have improved. Unemployment has declined. Activity in tourism has been restored to pre-pandemic level, while investment has and will continue to grow, both in absolute terms and taking a larger share of GDP.
 The outlook for the banking sector has also changed materially. Balance sheets have been restored further, and the focus has turned to growth and profitability. We now also stand to benefit from the normalization of the interest rate environment following many years of negative rates.
 Now please turn to Slide 7. In this environment, we have been able to deliver across all 5 of the levers we identified in our strategic plan for an improvement in profitability. Number one, the journey on asset quality is nearing its end. We have reduced NPEs by 77% in the last year and expect to reach a single-digit NPE ratio in the second quarter.
 Two, on costs. Of the envisaged EUR 193 million target of cost reduction measures via management actions, we have been able to already secure 67% or circa EUR 130 million, the benefit of which will continue to flow through our P&L in the coming quarters.
 Three, our fee income lines have shown remarkable growth over the past year across all categories, remaining above the EUR 100 million mark for 4 consecutive quarters, showing both the normalization of activity for certain product lines, but also the strategic positioning of the bank that allows us to capture and capitalize on profitable opportunities.
 And last, but not least, we have seen meaningful levels of profitable growth in our performing loans. In Greece, where we have been adding net loans at the pace of circa EUR 500 million per quarter and, in the first quarter, we added EUR 1 billion as our efforts to build a solid pipeline over the last few months is coming to fruition. But also in Romania, we were able to grow our book by 8% on a year-on-year basis.
 Let's turn now to Slide 8 to look at the top line trends in a bit more detail. This quarter, we are reporting the lowest point in our NII based on our projections. Our top line has faced meaningful headwinds. The improvement in our asset quality profile has improved the quality of our balance sheet and our earnings, but has come at a cost also to our top line. As we have been able to deliver faster the NPE reduction, the headwinds have been front-loaded.
 Lending spreads have compressed meaningfully on the back of the repayment of older richly priced syndicated facilities and a normalization in loan spreads. Our funding costs have increased as we continued to build our capital stack to meet regulatory requirements, while from the third quarter, the beneficial rates on central bank funding lapses.
 Also, versus our business plan projections, we have seen higher-than-expected deposit inflows, resulting to higher levels of excess liquidity. A portion of these headwinds remained ahead of us, but the tailwinds we now have are proportionately larger. The growth we have already seen in our loan book continues to add to our top line. The pipeline we have for this year as well as the medium-term prospects are clearly supportive of meaningful growth in our top line.
 The increase in sovereign and corporate bond yields has created opportunities for our non-commercial book that we are able to capture as we have been prudent throughout 2021, where the risk/reward was notably different. And let's not forget that the dislocation in the debt markets is driving corporates back to the banking channel for financing. Lastly, also not on our current projections, higher interest rates will undoubtedly have a meaningful positive impact on our top line.
 Let's go now to Slide 9 to zoom on our loan growth. In the first quarter, we have seen exceptional levels of growth in business lending. This has been the culmination of the strategy we have put in place to leverage upon our strong franchise and deliver profitable growth for our shareholders. We continue to work on building a strong loan book with defensive characteristics, capturing the investment driver in the country, taking advantage of the available tools such as the RRF and the development loan in projects of choice within infrastructure, utilities, hospitality, green transition and digital transformation as an example.
 We are originating fees as the advisory partner of choice for our corporate customers, ensuring that we have proper conservative structuring and ultimately producing returns of top of 15% threshold for returns on a risk-adjusted basis. A portion of large loan facilities we originated single-handedly in the first quarter will be syndicated in the coming quarters, giving us greater headroom to repeat this process. The progress we have made in the first quarter and the pipeline of disbursements we have on large projects, these allow us to comfortably reiterate our 2022 target for a EUR 2.2 billion expansion in net credit in business loans.
 Let's now turn to Slide 10 and default our attention to the greater picture. We are today just past 1 year anniversary since the announcement of our business plan, and we think it is appropriate to update you on our progress. We have made strong work on the cleanup efforts, with most of the work completed. Certain benefits that have already been captured will flow into our P&L partially this year with a full benefit coming in 2023.
 On costs, we are half way there. Our transformation program is running at full steam and will continue to yield benefits for the organization as we adjust our operating model, increase automation, streamline demand management and redesign the procurement operating model. Fees are performing strongly. And by the end of the year, we will have seen 3/4 of the targets improvement.
 Growth in assets under management and activity levels are tracking well, while we see further upside on the bankers run strong once our partnership with Generali will kick into gear. Asset growth locally and internationally has clearly started to show. We have more room to grow there, but the direction of travel is clear as our strategy is beginning to bring tangible results.
 To finish off on Slide 11, I would like to remind you that our aspirations for creating value for our shareholders remain intact. We are no stranger to facing challenging environments, and we will undoubtedly need to adjust to the changing conditions. But our resolve to deliver on our promises has been strengthened by the successful execution of our business plan so far.
 It is also important to clarify that we remain committed to return to our proud history of paying dividends as we were the only Greek listed company to do so uninterruptedly since the end of the second world war until the onset of the Greek sovereign crisis. Subject to regulatory approval, we expect to restart paying dividends from our 2023 profit as we will have met all the necessary conditions in terms of asset quality, profitability and capital with an initial expected payout anywhere between 20% and 30%.
 And with that, I would like to turn the floor to Lazaros Papagaryfallou to present our financial performance in the first quarter of the year. 
Lazaros Papagaryfallou: Good afternoon, everyone. I'm Lazaros Papagaryfallou, the CFO of the bank. And let's start by taking a closer look at the first quarter numbers.
 Turning to Slide 13. This quarter marks a clear turning point for our financial performance, as we have delivered a positive reported bottom line of EUR 125 million. reported profitability should become the norm going forward, and this clearly demonstrates that we have put to bed the problems of the past.
 We have had 2 effectively counterbalancing notable items this quarter: first, a trading gain of circa EUR 70 million on derivative positions, which is over and above our guidance for circa EUR 50 million per annum trading income; and second, a EUR 67 million impact from NPA transactions as we made further progress on this front. This quarter has also seen the deconsolidation of the Orbit portfolio after the plan.
 Our NPE ratio has fallen by a further nearly 1 percentage point to 12.2% on the back of favorable asset quality flows. On capital adequacy, our total capital ratio stood at 15% at the end of the period or 16.3% accounting for the RWA release of signed transactions, that is Project Sky, Riviera and Prometheus.
 Now turning to Slide 14, look at the underlying trends. The contribution of nonperforming assets to the top line has improved markedly down to 14% from 33% a year ago. And we expect it will further fall to 6% by year-end. Fees and commissions remain above the EUR 100 million mark for the fourth consecutive quarter despite a challenging environment, increasing their contribution to the revenue base.
 Recurring operating expenses continue to trend lower, clearly demonstrating the improvement in efficiency that we have instigated with our actions. Cost of risk was better this quarter than our guidance for 2022 as well as our long-term guidance, reflecting the improvement in our balance sheet. On every metric, the quality of our earnings continues to steadily improve. And if we look closely at the underlying picture on our core pre- and post-provision income, this quarter, we have turned the corner.
 Moving now to the next slide to look at the growth of our loan book. This quarter, we have started to reap the fruits of our labor as the strategy we have put in place is delivering tangible results. Looking at the chart on the bottom right of this slide, our performing loan book was up 4% in the first quarter, following on from a 5% growth last year.
 This is on the back of increased disbursements as we have been able to originate meaningful deals in structured finance, enjoying the relevant fees, ensuring the structure of the deals, the nature of the projects and their profitability is in line with our appetite, while also deepening our bonds with our counter parties. This is the bedrock of our business.
 We will, of course, syndicate a part of such exposures as part of our strategy to create more room to be able to repeat this process. The pipeline of agreed or signed transactions for the remainder of 2022 currently exceeds EUR 1 billion, with roughly half relating to structured finance projects, mainly on hospitality and infrastructure, while the rest is from corporate banking on retail, energy and real estate.
 As a result, we feel comfortable in confirming our target for debt credit expansion in business loans for the year, even after embedding in our estimates potential impacts from the changing macro environment. Lending spreads on performing exposures for individuals were up in the quarter as certain low-yielding exposures left our balance sheet through securitizations, while this quarter, we witnessed a 2 basis point reduction in corporate spreads in line with our expectations.
 [Technical Difficulty]
 Which, together with the positive mix of net credit expansion, should support the profitability of our loan book.
 [Technical Difficulty] 
Osman Memisoglu: Ladies and gentlemen, we apologize for the pause. Please hold the line. You'll be hearing music until the session resumes. Ladies and gentlemen, thank you for holding. We are to resume our conference. 
Lazaros Papagaryfallou: This is Lazaros. Again, sorry for the technical disruption. We are on Slide 16. I was saying that the growth in our loan book is one of the tailwinds we will have for our top line. Another important tailwind is the expected increase in the securities portfolio.
 When we put out our strategy a year ago, we highlighted that we aim to increase our securities book. The presence of QE during 2021 made yields unattractive, in our view, relative to loan valuations. The market has moved to better levels post-pandemic, and the move has been amplified by the war in Ukraine. As a result, we are now accelerating the growth of our securities book at much better levels relative to 2021, building a portfolio of high-quality, weighted and diversified liquid assets supporting our liquidity buffers without constraining our ability to lend.
 This process has already started in Q1, as you can see on Slide 16 and has accelerated in the second quarter. In total, investors at the start of the year we aim to add more to our securities book this year and incrementally more next year as long as the risk/reward continues to make sense.
 On the left-hand side of this slide, we depict what we already mentioned with full year results. We have changed the business model in our securities book, which is now built for income rather than trading, with 3/4 of the total held in the amortized cost book. As a result, our book value and thus our capital are largely insulated from further spread widening with the sensitivity of the book that is at fair value through other comprehensive income to 1 basis point movement in spreads, dropping from EUR 2 million to under EUR 200,000.
 Turning now to deposit gathering on Slide 17. The group's deposit base fell by roughly EUR 100 million in the quarter. Combined with the increase in our loan book, we have seen a healthy increase in our loan-to-deposit ratio as well as the escalation of our liquidity coverage ratio as depicted on the bottom right.
 Higher-than-expected excess liquidity has had a negative impact on our top line, so we welcome this development. For the avoidance of any doubt, note that the reduction in the deposit base relates to the usual seasonality we see in the first quarter rather than an impact from the macroeconomic environment. Liquidity drawn from the ECB's TLTRO facility stood flat at EUR 13 billion, unchanged Q-on-Q.
 Let's now see the drivers of our NII performance during the first quarter in more detail on the next slide. Net interest income in the first quarter of 2022 stood at EUR 283.2 million, down by 4.9% from the previous quarter as we are experiencing the tail end of meaningful headwinds from the NPE cleanup and funding costs. The quarter is also seasonally weaker as there is 2 less calendar days. While compared to the fourth quarter of last year, we did not have a negative impact from the extension of maturities of the TLTRO facility.
 On an underlying basis, net interest income was 1% up in the quarter. Growth in performing loans will continue to accumulate in the coming quarters, and we expect a strong increase in the contribution to NII from performing balances. This quarter also showed the initial positive impact from the increase in our securities book, which we intend to accelerate throughout this year.
 Lastly, Q1 also benefited from lower deposit balances, hopefully signaling that excess liquidity will fall towards our projections. Net interest income from nonperforming exposures stood at EUR 38 million this quarter, with slightly over 40% of that coming from the anticipated transactions envelope. The completion of certain NPE transactions will create some further volatility in the Q3 numbers.
 Naturally, and similarly to all banks, we will no longer enjoy the beneficial rate on TLTRO funding from Q3 as we revert to accruing at 50 basis points versus 1% before. So the quarterly run rate will be lower, but we can confirm that we envision Q1 to be the low point for net interest income. As depicted on the right-hand side, growth in performing loans and securities should more than offset the headwinds.
 On Slide 19, we are updating you with regards to our sensitivity to higher interest rates. Our analysis has been informed by what has actually been observed in terms of pass-through rates for deposits in markets, but experienced increasing rates in the current cycle. For our base case, we are assuming that the blended cost of deposits will go up by 30 basis points once rates reach the 1.5% level.
 We assume that the higher rates are passed on to depositors once we breach the 50 basis point level with a pass-through of 20% for site deposits and 80% for time deposits. We also show here that the actual experience in the U.K. and the U.S. would translate into more favorable assumptions for pass-through rates. So our sensitivity is on the conservative side.
 Based on the structure of our balance sheet and on a static basis, on the right-hand side chart, we show the cumulative annual impact on net interest income for certain levels of interest rates. Given that our annualized Q1 top line stands at EUR 1.15 billion, you can appreciate that our sensitivity to higher rates is 10% of current net interest income once rates hit positive 20 basis points, while with rates at 1.5% as the forward curve suggests, our NII would be 24% higher.
 Turning to Slide 20. We show the main drivers of our fee income generation, where we have been able to maintain our strong performance despite the seasonal weakness in cards and payments as well as asset management. On a yearly basis, we are clearly up across all categories, highlighting the progress we are making in diversifying our revenue pool and capturing the growth opportunities in the segment that we are targeting.
 The clear outperformer this quarter was business credit-related fees on the back of the large disbursement we have conducted this quarter. The likely volatility on this line should not suggest that it is of a nonrecurring nature. We have a strong pipeline of originations, and we envisage having strong and stronger quarters ahead of us. The receipt of origination fees has been a building block of our strategy in business banking and structurally complements the profitability of the credit that we are underwriting.
 On the OpEx side, on Slide 21, we show that Q1 recurring operating expenses were down both Q-on-Q and year-on-year due to material savings in staff costs. Looking forward, we expect the savings from sale of the Merchant Acquiring business to largely offset the loss of revenues, while the remaining transaction will also lead to further cost savings.
 As Vassilios as mentioned, we have already secured of envisaged EUR 130 million or 67% of the business plan targeted cost reduction measures, and the benefit will continue to flow through our P&L in the coming quarters. Having taken into account our up-to-date estimates for the timing of certain transactions as well as inflationary pressures, we can confirm our full year guidance for a total OpEx base at EUR 960 million.
 Moving on to the asset quality page, that is Slide 22. With regards to asset quality trends in this quarter, NPE formation in Greece turned negative this quarter as lower inflows from expired moratoria were more than offset by stronger curings and repayments. I should note here that the EUR 0.2 billion of single ticket sales depicted here also refer to exposures that have been refinanced by other institutions and are thus structurally closer in nature to a repayment rather than a transaction.
 On the right-hand side of the slide, you can see further information on our cost of risk evolution. The cost of risk came in at 54 basis points over net loans in the first quarter, reflecting the normalization of our balance sheet.
 I should also note that we have taken an incremental provision this quarter for certain transactions that have moved closer to signing. And we remain confident that we will be able to meet our targets for transactions, both in terms of timing and in terms of cost.
 And this is probably a good opportunity to move on to the next slide, Slide 23. As you can see, our NPE balances are now below the EUR 5 billion mark with NPE ratio dropping further to 12%. We expect to deliver the promised envelope of transactions in the second quarter within the envisaged remaining loss budget, leading us to a single digit NPE ratio in the next quarter.
 Given the prevailing uncertainty regarding the macroeconomic environment, we have of course stressed our portfolios to identify the envelope that it is at risk and assets -- and assess the likely impact of a downside scenario. Under such a scenario, our model suggests elevated redefaults and slightly lower curings having an impact of circa EUR 300 million to EUR 400 million on organic formation, mostly on retail exposures.
 As you can appreciate, this does not materially affect outlook for asset quality, and it definitely does not engage the achievement of a single-digit NPE ratio, leaving still room for material organic deleveraging this year, keeping project to [ more targets ] intact.
 We should note that we have not experienced any change in payment behavior so far despite inflationary pressures and disposable incomes. From a risk point of view, we stressed exposures that have been previously restructured and carried naturally coverage with them. So the sensitivity to provisions is not substantial.
 With that, let's turn to capital on Slide 24 and the evolution of the capital position. This quarter, we have seen an 8 basis points impact from the lower reserve of the investment securities portfolio measured at fair value through other comprehensive income. In the context of the spread widening we have witnessed in the markets, this shows the defensiveness of our capital position following the change in business model for our securities book.
 Profits contributed 44 basis points to capital this quarter, while RWA growth had a notable impact on the back of our credit expansion, part of which will be syndicated away in the coming quarters. Reported fully loaded common equity Tier 1 stood at 10.9%. Pro forma for the anticipated RWA relief from transactions, it stands at 11.2%.
 And once we also incorporate the impact from the closing of the sale of our Merchant Acquiring business in the second quarter, the common equity Tier 1 level we have secured stands at 12.2%, well on track to meet our full year guidance.
 And with that, let's now open the floor to questions. 
Operator: The first question is from the line of Scorza Floriani Jonas with Axia Ventures. 
Jonas Floriani: Yes. Well done on the results. I have a few questions. The first of them is on lending. It looks like given the Q1 performance and what you've mentioned during the presentation, you guys are in a good position to meet the lending target for the year in terms of disbursements and net loan growth. Also, it looks like NII, because of rates, could also surprise on the positive side. And I see that you're keeping your NII guidance stable at above EUR 1.15 billion. So just wondering what that above EUR 1.15 billion would mean.
 And also, I was wondering if on the NII circa things, if it's fair to assume that you've taken a conservative approach maybe in light of the global macro or if I'm missing the figure that you're willing to syndicate that could end up impacting NII or your loan balances.
 Then secondly, on expenses. It's a similar question to the previous one. It's more related to your run rate versus the targets. I was just wondering if you could talk a bit more on inflation expectation on cost. I've seen that Lazaros just mentioned that the guidance for the year in terms of OpEx is EUR 960 million, which is the same as before. The recurring part of it was the EUR 920 million, right? So pretty much you're keeping the level stable versus the previous quarter. While we've seen another quarter of pressure on price, it doesn't seem that it's kind of coming down soon.
 And my final question is on asset quality. I'm not sure if I've managed to understand what is the updated guidance on inflows for 2022. I remember that in the previous quarter, you mentioned about -- something about EUR 800 million of inflows for 2022. And what this number would be right now? And also, what can we expect in terms of coverage ratios for the end of the year? 
Vasilis Psaltis: Jonas, I'm Vassilios. I'll start on with the lending piece. And this is just to confirm that indeed on the lending part, we appreciate that, in particular in the corporate sector, when we're talking about investments, you need to appreciate that there is a long [ incubation ] period. So these are discussions that we have been having with customers for quite some period. And now they have come into fruition. Actually, they have been signed for some time. And now you see the disbursements.
 And that explains also the visibility that we're having on the pipeline, which is going to be executed upon, giving us comfort on keeping the guidance intact. I think here, what I need to stress is that the confidence into investment in Greece continues to be absolutely intact. There was -- in the first few weeks after the event in the Ukraine, there was a bit of a thinking of putting things on ice. However, the whole discussions have fully resumed.
 And actually we have, this week, a very large public event with our large corporate customers, and there were also a great deal of presence from the government and also on our discussion with customers. And the whole feeling that we got from the 250 attendees that we had is that they're all marching ahead. So it's [indiscernible] was realized whole that we have run, and this speaks in favor of the investment dynamics that we will continue to experience in Greece. 
Lazaros Papagaryfallou: Yes. Jonas, on net interest income, indeed, we're reiterating our guidance for at least EUR 1.15 million (sic) [ EUR 1.15 billion ] of NII for the year. We have explained what the headwinds have been so far, and we strongly believe that such headwinds are behind us to a very good extent. We do expect in 2020 to some further pressure from NPE transactions, especially from the third quarter onwards. However, the quality of NII is materially improved.
 You may recall that I was giving a guidance that NII from NPEs goes down significantly towards the fourth quarter to less than EUR 20 million per quarter. On the other hand, we will witness a significant increase in net interest income from performing balances. Their contribution will materially increase during the year. The run rate from the first to the fourth quarter will increase by approximately 10%.
 This is on the back of our projections for net lending growth of EUR 2.2 billion in Greece, which we maintain as a target, given our performance so far and the pipeline we have in front of us. On the positive side, we also have securities as we build up the books. We target to build securities up to EUR 2.7 billion year-on-year additions at increasing yields compared to what we have seen last year. And that will definitely support not just 2022 NII, but most profoundly 2023 NII.
 And we are not incorporating this projection for EUR 1.15 million (sic) [ EUR 1.15 billion ], an uptick of interest rates. So the sensitivity you have seen on interest rates is not incorporated in this projection for NII. So yes, there is upside to this projection. 
Vasilis Psaltis: There was a question about inflationary costs. We have seen inflation starting to affect our P&L already in the fourth quarter of 2021 when we have seen our electricity bills in the fourth quarter increasing significantly compared to the first quarter of the year. And part of these inflationary pressures had been incorporated in our budget and guidance for 2022.
 Having said that, you are correct in pointing out that -- we are keeping the total OpEx guidance at EUR 960 million, but that will come up with a slightly different composition. We will see recurring expenses higher towards the EUR 940 million mark and extraordinary charges at lower levels. So the total OpEx guidance is maintained at EUR 960 million.
 And you will appreciate that as a bank, it's not our G&A's line that will suffer most from inflationary pressures, okay? We have increased electricity bills, transportation costs, the cost of plastic is higher, things like that affect G&A. But that at the end of the day does not have a material impact on the profit and loss account.
 Mostly, we should be looking at staff costs. And there, we have witnessed, as a bank and as a system, a very significant development in the first quarter of the year, which is entering into an agreement with the union for the collective labor agreement that will define salaries for the next 3 years. So there's a cumulative 5.5% increase that has been agreed with the union, which is rather back-loaded in this 3 years' period and has kind of locked our costs for the respective period for the relevant perimeter. 
Lazaros Papagaryfallou: Actually, the last 2.5 percentage points is an increase that will take place in December 2024. So it's really in the outdoor space. 
Vasilis Psaltis: But if you want a number behind estimates for inflationary pressures, I can speak about a EUR 15 million mark in OpEx, both staff costs and G&A for the entire period until 2024. Now 2022 is also affected by the timing of certain transactions. And the exact point in time we will deconsolidate some businesses or portfolios. That also affects the estimate of recurring operating expenses. As a bottom line, we're getting to a EUR 960 million total OpEx target.
 There was a question about asset quality. And you know that in the first quarter, we have managed to reduce by EUR 0.2 billion NPEs. We have given a guidance pre the invasion in Ukraine at the beginning of the year for an organic reduction of EUR 700 million. That was a function of defaults and curings as well as power drivers that affect organic deleveraging.
 As I said previously, we have stressed these assumptions, mainly in retail portfolios where we expect to have some reasonably higher level of defaults, mainly relating to loans previously restructured, loans that mostly see it in the Stage 2 by geography and under a scenario [indiscernible] the downside scenario is reasonably expected to experience higher default.
 So we expect under this scenario of EUR 300 million to EUR 400 million less organic deleveraging than previously estimated. That would leave us still at a negative organic deleveraging level. And on top of that, you have the transactions that will drive NPE ratio towards a single digit.
 If you recall, back in 2021 when we launched Project Tomorrow, we had anticipated in 2021 and 2022 a cumulative organic deleveraging of EUR 300 million. So most probably that will be the number for the 2 years' period if this downside scenario materializes. 
Operator: The next question is from Memisoglu Osman with Ambrosia Capital. 
Osman Memisoglu: I got a couple on my side. First, on capital, with the NPE transaction closings coming up, where should we expect your fully loaded CET1 to settle at the end of Q2? That's my first one. And then second would be related to that. If you could comment at all on your issuance plans. And third one, just wondering if you could give us any color on how Romanian business is evolving and what you expect this year. 
Vasilis Psaltis: We have taken an impairment charge in the first quarter of the year. And there is a remaining loss budget of approximately EUR 200 million to be absorbed in the second quarter of the year. At this point in time, we will classify portfolios in the held for sale reducing, respectively, R&D balances. So in the second quarter of the year, we expect this incremental loss budget in the P&L.
 But in the same period, we expect profit on the Merchant Acquiring sale to slow in our books. And you will appreciate that the profit of EUR 300 million is higher than the loss budget that is left for us to take in the second quarter of the year. So we are giving, on that basis, a projection for fully loaded common equity Tier 1 at the 12.5% level, which is the target for the year.
 Looking at the second question, that is issuance. As things stand, we don't have issuance plans for the year. However, we are always prepared to take opportunities if and when they come up. Romania, I think this will be the first year that the bank will be reporting some good lending growth in secured lending as well as a positive bottom line to the tune of EUR 25 million or so.
 You have seen maybe developments in the Romanian market. Romania has the same macro challenges that the other countries have. On the other hand, it is well positioned to benefit from a significant inflow of investments in the coming year. So our business model there, mainly focused on corporate lending and mortgage lending, is well positioned to take advantage of this investment-driven recovery in the Romanian market. 
Lazaros Papagaryfallou: And perhaps to add a couple of points rather than the short term about Romania is that its energy mix is significantly less dependent than the average of Europe from Russia. And the other point also that I wanted to make on Romania is that practically, they may be able to benefit from the agricultural shortages that may find -- Romanians are very much focused on the agricultural production, and this may give them additional room for exports. 
Vasilis Psaltis: And of course, I need to [ watch ] here that when it comes to asset quality, we have seen no signs of deteriorating asset quality. Actually, we have a very, very local NPE ratio in Romania, which is covered by provisions at 97%. 
Osman Memisoglu: Just following up on the capital front. So this 12.2% pro forma, does that include the EUR 200 million or not? I wasn't clear on that. 
Vasilis Psaltis: The 12.2%, that is the pro forma for fully -- the common equity tier 1 pro forma in the first quarter for the Merchant Acquiring business does not include the EUR 200 million. 
Operator: The next question is from Sevim Mehmet with JPMorgan. 
Mehmet Sevim: Congratulations on the strong results. I have one question on cost of risk, please, which was obviously very low this quarter at 54 basis points. Can you give any additional color on what drove this? Did you do any releases? Or is it simply the low formation trend that drove this 54 basis points figure versus, I think, what you guide at 70 basis points or lower for the full year?
 And maybe additionally, again, on cost of risk longer term, thinking about your sensitivity to interest rates. So if we say we reach 1.5% ECB rates or even higher, what impact would this have on your normalized cost of risk? For example, I think you're saying 60 basis points long term. Would you see any additional pressure on that figure coming from the interest rates? 
Vasilis Psaltis: As far as the first quarter is concerned, it did. It was the low flows that have determined the number. And these flows, I'll remind, mainly come from Stage 2 loans, 95% of the flows are coming from Stage 2 loans, out of which 65% comes from mortgage lending. That means that these flows carry with them provisions. So the incremental impact of this transitions in Stage 3 to not really have a significant impact on cost of risk.
 On the contrary, you have curings, which support the cost of risk calculation. Actually, in the first quarter of the year, because the flows have been conducive to a low number, we have also taken on top of that an incremental charge for staging transition based on risk modeling to affect the impact of the war in the probability of default numbers in our models. So that has affected, to a good extent, the cost of risk number for the first quarter of the year. And of course, on top of that, we have taken provisions for transactions to happen in the second quarter of the year. 
 And now as far as risk sensitivities on asset quality, in wholesale, we are segmenting the portfolio to understand and assess the risk that sectors or single names within those sectors will face as a result of high energy prices and higher transportation costs. So we do identify affected sectors, which do not, let's say, make up for a large part of our portfolio. Actually, it's less than 10% of those mostly affected in the construction and the energy sector. And we kind of stressed their EBITDA margin to see their probability for staging transition.
 I don't have a formula to give you as to how interest rates -- higher interest rates can affect the staging transition. There is no modeling really to fully capture that movement. However, you will appreciate that the projects we underwrite, especially in wholesale, are not that sensitive to small increases in interest rates. They already have significant IRR to absorb this kind of rate increases. 
Operator: The next question is from the line of Boulougouris Alexandros with Wood & Co. 
Alexandros Boulougouris: A quick question on the securities that you mentioned are increasing in the first and second quarter. Is this mostly GGBs, and are they booked here to collect mostly? That's my first question.
 And the second, regarding -- you had a very good performance, obviously, in corporate lending. Quite impressive growth. And I was wondering if you could comment a bit on retail lending. Where we stand with new disbursements on a year-on-year basis? And when should we expect some growth there as well, I guess, 2023, but if this is moving in line with the targets. 
Vasilis Psaltis: Alex, I'll start with retail lending. On retail lending, I think this is the one area where we see the sentiment having turned. And I can understand on this whole people households are hit by news flow that is coming our way from a lot of areas, both good and bad in the sense that, as we have said, the starting point is that there is quite a cushion from savings that they have been able to accumulate during the pandemic, either by not consuming and/or by the fact that there have been fiscal measures supporting them from the side of the government.
 Now on the energy side, we are starting to see the outflows, but at the same time, there is a lot of support coming in from the government. So everyone is trying to square that in his budget to see how this will actually mean in terms of reduction of disposable income. At the same token, the salary increases that we are witnessing are rather skewed towards the lower part to those that are most unique. We have seen a significant increase announced by the government to the minimum wage, which is almost a whole digit.
 So there is -- there are a lot of things happening at the same time. And I think people will need first to see what is happening before they start making decisions on that. And I think on the mortgage side, the moment that we will start having more visibility, given also that the inflationary environment, this is always conducive to value preservation, we do expect that this is going to start picking up again in 2023.
 You appreciate that this is also going to be a function of the monetary policy that we're going to be seeing in that fighting inflation. So I think on that one, we need to wait for a couple of quarters to have a bit more clarity. 
Lazaros Papagaryfallou: Alex, on your first question regarding securities, in the first quarter, it has been mostly about ECB-eligible securities and less about GGBs. And you have seen that the average yield we have added approximately EUR 400 million is 1.18%. If I [ call well ], it's EUR 0.1 billion GGBs, EUR 0.3 billion ECB-eligible securities. In the second quarter of the year, we have been buying some more GGBs and ECB-eligible securities. That's why you see on the right part of the page, the average yield at 1.67%. 
Operator: The next question is a follow-up question from the line of Memisoglu Osman with Ambrosia Capital. 
Osman Memisoglu: Just a few follow-ups and color on NII, please. On this large corporate book expansion, could you give us any color on timing? Was it -- in other words, should we expect a bigger spot in Q2 from these disbursements? Any color on spread trends? And finally, if you could reiterate the TLTRO expectations, why you're expecting a catch-up to decline afterwards? If you could confirm those, that would be helpful. 
Vasilis Psaltis: You have seen the net lending expansion in the first quarter at EUR 1 billion. As we have described, we have originated good transactions, and we're going to syndicate part of that origination in the coming quarters. Why is that? Because that brings us good fees. And then it gives us more room to do exactly the same in the coming quarters. So we don't expect for this year the run rate, obviously, to be at EUR 1 billion. The average net credit expansion that we expect in the coming quarters in 2022 is approximately EUR 400 million. That is how you get to the EUR 2.2 billion net credit expansion for 2022.
 You will see, on Page 15, spreads and how these spreads evolve. You will see that there has been a reduction in corporate spreads, that also includes small businesses, to 368 basis points, in line with the market, I would say. Back in 2021, we had experienced the repayment of some large facilities, which were originated during the Greek crisis and were accruing interest at very high spreads. And a good part was refinanced in 2021 at lower spreads. We don't expect similar refinancings in 2022.
 However, we do expect some soft landing in corporate spreads, in line with what you see here as spread of new production. We do expect the spread of new production in the coming quarters around the 390 basis point level. And this is a function also of the asset mix, as we expect some more retail in the coming quarters.
 I'll remind that we expect the contribution of performing loans to NII towards the end of the year to significantly increase and counterbalance, to a good extent, the erosion from NPEs NII. You can see that on Page 18, as we have tried to portray the exit rate, that is the last quarter of 2022, how it will look like compared to the first quarter of the year. 
Iason Kepaptsoglou: Okay. This is Iason. On TLTRO, the modalities of the facility are very well known. We have been able to meet the benchmark. So we have been accruing at minus 1%. This stops at the end of the second quarter. So from the third quarter, as expected, we will be accruing at half that level, at 50 basis points. This, of course, is included in our estimates. Together with the NPE transactions that will mature in Q2, it creates a headwind for Q3, but as we have stated, we do expect Q1 to be the low point in NII. 
Vasilis Psaltis: Thank you very much, everyone. We hope you have a lovely summer and you'd join us for a fantastic to summer season. And we'll see you with our second quarter results or in our visits shortly in London. Thank you very much.